Operator: Welcome everyone to the On Track Innovations second quarter 2019 corporate update call. At this time, all participants are in a listen-only mode. A recorded question and answer session will follow the formal presentation. If anyone should require operator assistance during the conference, please press star, zero on your telephone keypad. As a reminder, this conference is being recorded. You should have all received by now the company’s results press release. If you have not received it, please contact On Track Innovations’ Investor Relations team at GK Investor and Public Relations at 1-646-688-3559, or view it in the News section of the company’s website. I would now like to hand over the call to Mr. Ehud Helft of GK Investor Relations.
Ehud Helft: Thank you, Operator. Welcome to On Track Innovations’ 2019 second quarter conference call. I would like also to thank management for hosting this call. With us on the call today from OTI is Mr. Assaf Cohen, interim CEO and company CFO. Assaf will provide a summary with recent key highlights and review OTI’s financial performance for the 2019 second quarter. Following the prepared remarks, we will go to investors’ submitted questions and Assaf will provide the answers to those questions.  Please be advised that certain information discussed on this call will contain forward-looking statements. They can be identified by the use of terms such as may, will, expect, believe, intend, plan, and other comparable terms. While forward-looking statements reflect good faith belief and best judgment based upon current information, there are no guarantees of future performance. They are subject to known and unknown uncertainties and risk factors, including those detailed from time to time in the company’s filings with the SEC. OTI assumes no obligation to update any forward-looking statements or information which speaks as of their respective dates. The full Safe Harbor provisions are set forward in the press release we issued earlier. With that, I would now like to hand over the call to the company’s interim CEO and continuing CFO, Assaf Cohen. Assaf, go ahead please.
Assaf Cohen: Thank you Ehud. Welcome all and thank you for joining us today. As you all know, OTI is currently undergoing a leadership transition. While the board is working to bring on a new CEO and has appointed an interim CEO, we have temporarily changed the format of the conference call during this interim period whereby my prepared remarks have been prerecorded and we took questions from investors via email. Following my prepared remarks, I will provide the answers to your submitted questions. This is a temporary situation. Once we have a permanent CEO, we will go back to our normal format of the live conference call. I would like to start by summarizing some of the key events of the quarter. Overall, we are pleased with the strong improvement in our results in the second quarter. Our strong growth in revenues, amounting to $4.1 million, up 37% over the prior quarter, gives us confidence that the issue we faced in the U.S. from the impact of the U.S. tariffs on Chinese manufactured products is now behind us, and we have begun to regain our positive momentum in the region.  Another positive aspect in our results and in line with our long term strategy is that the recurring portion of our revenues continues its growth trend, and this has allowed us to see a solid improvement in our gross margin, over 700 basis points above where it was in Q2 last year. Looking ahead, we expect to continue our [indiscernible] revenue growth in the coming quarters, and given the positive trends I expect [indiscernible] breakeven in 2020 and return to profitability.  On the sales front, we are also making progress. In early June, we announced an order for 2,000 advanced payment systems for use in Russian ticketing. We won this order based on our leading technological capabilities, and this is a demonstration of the highest level of security. This important customer has become another key reference for us in Russia. This additional order builds on our previous success in significant Russian markets, having delivered to date almost 20,000 cashless payment systems. Russia remains a long term growth market for us. In middle June, we received a purchase order for 1,000 cashless payment systems from Japan via our partner, Billing System Corporation, a leading regional payment service provider. This new order gives us a substantial runway to continue our growth together with our strategic partner. We continue to broaden our footprint in the vast Japanese [indiscernible] retail market and we already have more than 10,000 OTI systems operational in the Japanese market. With a potential of 6 million units country-wide, the total size of the Japanese electronic vending machine market is very significant to us and we look forward to further growth in this market. Last week, we announced an order for 10,000 of OTI’s UNO-8 advanced secure contactless NFC reader for the global smart ATM market to be delivered before the end of 2019. In this new order, we have already received orders for over 50,000 advanced reader systems which are being used throughout the world to provide smart ATMs with contactless NFC capabilities.  Now I would like to cover the financial results. Last Wednesday, we issued the results from the second quarter of 2019 in a press release. A copy of the release is available in the Investor Relations section of our website. As usual, I’ll be covering some non-GAAP metrics, including adjusted EBITDA from continuing operations. We believe this provides a good understanding of our ongoing performance. Please see the earnings release on our website for further details about these non-GAAP metrics, including a reconciliation of adjusted EBITDA to our comparable GAAP results.  In addition, as you know, we announced the sale of MediSmart in December 2018. The results of MediSmart are therefore included as discontinued operations and all the prior period information has been reclassified to conform with the current period presentation.  Revenues in the second quarter of 2019 were $4.1 million. This is compared with $5.7 million in the second quarter of last year and $3 million in the prior quarter. In terms of breaking down of where revenues were derived in the second quarter of 2019, retail and mass transit ticketing revenues were $3.5 million or 84% of sales, and petroleum revenues were $0.6 million or 16% of sales.  Looking at geographic breakdown in the second quarter of 2019, the Americas accounted for $0.8 million or 21%, Europe was $2.3 million or 55%, Africa was $0.5 million or 12%, and APAC was $0.5 million or 12%. Recurring revenues in the second quarter of the year were $1.2 million or 29% of revenue versus 24% last year.  Gross margin in the second quarter was 58%, a solid improvement over the 60% recorded in Q2 last year and 55% in the prior quarter.  In the second quarter, operating expenses were $3.2 million versus $3.3 million in the second quarter of last year and $3.1 million in the prior quarter.  Net loss in the quarter was $0.9 million. This is compared to a $278,000 loss in the second quarter of last year and $1.7 million loss in the prior quarter.  Now turning to our non-GAAP results, adjusted EBITDA in the second quarter of 2019 was a loss of $442,000 compared with an adjusted EBITDA of $32,000 in the second quarter of last year and an adjusted EBITDA loss of $1.1 million in the prior quarter.  Looking at our balance sheet, OTI remains in a good position. At June 30, 2019, cash, cash equivalents and short term investments was $5.7 million and short and long term debt was $2.8 million. At year end 2018, we had $5.9 million in cash and equivalents and $0.4 million in debt.  Before concluding, I would like to take a moment to thank Shlomi Cohen, our former CEO, and wish him the best of luck in future with all endeavors. On behalf of the employees, management and the board, I would like to thank him for the years invested in OTI, stabilizing the business and advancing the strategy. As I mentioned earlier, the board is working to find a suitable replacement which we hope will be concluded in the coming months.  In summary, over the past few quarters, OTI has gone through a difficult period, but as the improvements in our results this quarter show, from a financial perspective we believe the issues we faced are now behind us. Apart from the strong sequential revenue growth, we have made strong progress in building recurring revenues as well as improvement to the gross margin, better positioning us going forward. Now we will respond to your questions. Ehud, please go ahead.
Q - Ehud Helft: Thank you. Our first question is from Robert Helft [ph], a private investor. He asks the following question. The new TRIO-IQ was already presented in detail in June 2018. At the same time, since then global orders except for Russia and ATMs have fallen. Is there a connection? Do customers prefer to wait for serial production of the IQ instead of ordering the old TRIO? When will the TRIO-IQ come onto the market?
Assaf Cohen: We presented our latest cashless automatic payment solution, the TRIO-IQ in the second quarter at the NAMA Show in Las Vegas. In the past few months, we did find that some of our customers had held off purchase until the new release was launched, and this was especially true in Japanese markets where our customers want to use the latest and best technology. We believe that from the end of this year and beginning of 2020, we will start to see purchase orders are coming in. Japan and U.S. markets will be our major markets for the TRIO-IQ in the coming years. 
Ehud Helft: Same question from Robert. Please discuss OTI’s PetroSmart and when do you expect to see more revenue? 
Assaf Cohen: As you know, OTI PetroSmart is our solution for integrated fuel and fleet management vehicle identification. Escalating costs of managing fleets is the driver for the customer to introduce more stringent controls when refueling. We do see demand and interest--sorry. In the first half of 2019, our revenue in this business was $1.4 million, down about 45% versus the first half of last year primarily due to lower revenues in the Americas, which in part was due to import tariffs placed on Chinese manufactured products into the United States. I do expect our revenues in the second half of the year in this business will be better than that of the first half. Longer term, bringing OTI PetroSmart to the next stage of its potential will be something the new CEO will work on.
Ehud Helft: Another question from Robert. Cubic successfully implemented a new fare payment technology for New York’s MTA rollout of their Omni system. Cubic is an old partner of OTI. Is OTI involved here?
Assaf Cohen: No, OTI is not involved here. 
Ehud Helft: A follow-on question from Robert. Billing System Japan wanted to expand its relationship with OTI. [Indiscernible] company as founded especially for this purpose in September 2018; however, the orders of OTI to Japan have disappeared. Was there a dispute?
Assaf Cohen: No. As I mentioned earlier, the Japanese market likes to use the latest and best technologies. When we started discussion on our new release of the TRIO-IQ, they held off new orders. We presented the TRIO-IQ at the end of April and interest from the Japanese market is quite significant.
Ehud Helft: The last question from Robert, finally, what do you expect in terms of sales and order development through year end? 
Assaf Cohen: As I said earlier, we do expect to see annual sales growth from this point until year end 2019.
Ehud Helft: Okay, our next question is from George Berberus [ph], private investor. It might be time that OTI should cease as an independent company and look to merge to create a company of scale that has better chances of success. Is this in the plan?
Assaf Cohen: The board and the management are always looking how shareholder value can best be achieved, though their short term goal is to grow sales and [indiscernible] breakeven in the coming quarters. A new CEO, when they join, will consider the longer term strategy of OTI together with the board.
Ehud Helft: Our next question is from Ailon Grushkin from AZG Tangible Assets Fund. His first is as follows. What are the differences between Shlomi’s strategy and the board’s?
Assaf Cohen: Unfortunately I can’t go into the specific points of this agreement other than what we already publicly announced to the market. We announced publicly that this related to a difference in opinions between Shlomi and the board with regard to the current strategy and operation of the company.
Ehud Helft: Another question from Ailon, is there a reason the board does not just hire a banker to sell the company and salvage some value?
Assaf Cohen: The board considers OTI to be very undervalued in the market, therefore our immediate goal with the most direct impact on our valuation and creation of shareholder value is growing sales, which should lead to return of profitability. When the new CEO arrives, we will evaluate together with the board the longer term strategy for maximizing shareholder value.
Ehud Helft: A follow-on question, is there a strategy in place to keep expenses under control to avoid another capital raise that dilutes the current shareholder base?
Assaf Cohen: Our expenses are under full control. It will continue to be like that. I would like to point out a few things. We have guided that we expect that revenues for the remainder of the year will continue to grow consistently. Our operating expenses in the first half of this year were $6.3 million versus $6.7 million in the first half of last year, so we are doing a good job on keeping a cap on lowering expenses. Our gross margin has increased 500 basis points from 51.3% in the first half of last year to 56.3% in the first half of this year, which effectively has lowered our revenue breakeven point. With regard to the second point about raising capital, I don’t know what the growth strategy will be with a CEO who has not yet arrived. What I can say is that the immediate term, we have $5.7 million in cash on the balance sheet, which is enough for our short term working capital needs. 
Ehud Helft: Thank you. That concludes the question and answer session. Assaf, please make your concluding statements. 
Assaf Cohen: On behalf of OTI, I would like to thank you for your continued interest and long term support of our business. I look forward to speaking with you next quarter and updating you on our progress. Thank you for your attendance. Have a good day.
Operator: The conference has now concluded. Thank you for attending today’s presentation. You may now disconnect.